Operator: Ladies and gentlemen, welcome to the Clariant Third Quarter Nine Months Figures 2024 Conference Call and Live Webcast. I'm Sandra, the Chorus Call operator. I would like to remind you that all participants have been in listen-only mode and the conference is being recorded. The presentation will be followed by a Q&A session. [Operator Instructions]. The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Andreas Schwarzwalder – Head of Investor Relations, Head of Investor Relations. Please go ahead, sir.
Andreas Schwarzwalder: Thank you, Sandra. And ladies and gentlemen, good afternoon. My name is Andreas Schwarzwalder. And it's my pleasure to welcome you to this call. Joining me today are Conrad Keijzer, Clariant's CEO; and Bill Collins, Clariant's CFO. Conrad will start today's call by providing a summary of the third quarter development, followed by Bill, who will guide us through the group's financials for the period. Conrad will then conclude with the outlook for the full-year 2024 and the medium term. There will be a Q&A session following our presentation. At this time, all participants are in listen-only mode. I would like to remind all participants that the presentation includes forward-looking statements, which are subject to risks and uncertainties. Listeners and readers are, therefore, encouraged to refer to the disclaimer on Slide 2 of today's presentation. As a reminder, this conference call will be recorded. A replay and a transcript of the call will be available on the Investor Relations section of the Clariant website. Let me now hand over to Conrad to begin the presentation.
Conrad Keijzer: Thank you, Andreas. Good afternoon, everyone, and thank you for joining this call. In the third quarter of 2024, we delivered sales of CHF 991 million, in local currency this corresponds to a 1% decrease with a negative currency impact of 3% in the reported figure. Pricing was stable in all business units reflecting our well established pricing ability in a deflationary environment with our year-on-year raw materials down 5%. Volumes were down 3% as growth in Adsorbents and Additives and Care Chemicals was offset by lower than expected catalysts volumes against a strong comparison base. Growth of Lucas Meyer Cosmetics had an additional positive impact of 2% on reported sales. Uncertainties and risks remain in the chemical industry and expectations of recovery are shifting to 2025. According to Oxford Economics, manufacturing PMIs further deteriorated in September in all key regions except for China. All regions remained below 50. Europe declined to 45.0. The U.S. declined to 47.3, while China increased to 49.8%. The European Chemical Industry Council, Cefic reported that the weak demand and declining business confidence continues to challenge the European chemical industry. The insufficient demand remains the main limiting factor to chemical production, which is up 3.6% during the first seven months of this year, albeit from a very low base and still well below pre-COVID levels. Oxford Economics projects around 3% increase in chemical production in Europe in 2024 versus 2023. In China, the largest chemical market, Oxford Economics expect chemical production to grow by almost 7% in 2024, fueling global growth of chemical production of close to 4%. According to the American Chemistry Council, in September, chemical production in the U.S. only slightly increased by 0.2% year-on-year. Oxford Economics projects a 1.1% increase of chemical production in the U.S. in 2024. Moving on to our performance by geography. Local currency sales in the Americas declined by 6% organically with volume growth in Care Chemicals and Adsorbents and Additives offset by lower sales in Catalysts. In Europe, Middle East and Africa sales increased by 1% organically in local currency. Volume growth in Adsorbents and Additives and Catalysts compensated for lower volumes in Care Chemicals and slightly lower pricing in all business units. Local currency sales in Asia-Pacific were down 5% organically with a 13% organic decrease in China, due to the volume decline in Catalysts more than offsetting growth in Care Chemicals and Adsorbents. The lower Catalysts volumes resulted from weak newbuild activities in the industry in China. Pricing was slightly positive in all business units. In terms of profitability, reported EBITDA decreased by 13% year-on-year to CHF 139 million with a corresponding margin of 14%. The impact of lower Catalysts volumes was only partially offset by improved operating leverage, higher volumes and a lower cost base, particularly in additives. In addition, the reduced financial impact from sunliquids contributed positively in the quarter. Furthermore, we identified additional opportunities for restructuring in corporate functions, resulting in charges of CHF 9 million against full-year annual run rate savings of CHF 6 million. EBITDA before exceptional items decreased by 5% to CHF 155 million. This represents a resilient margin of 15.6% versus 15.9% the prior year, despite lower sales, due to effective pricing and cost management and the accretive Lucas Meyer Cosmetics acquisition. Last Friday, the Board of Directors nominated Ben van Beurden as a candidate for the position of the Clariant Chairman and as a member of the Board of Directors, if elected by the AGM on April 1, next year. Ben brings an extensive background in the Energy and Chemical sectors. In addition, Clariant would benefit from his wealth of experience in leading a global organization. Most recently, Ben served as CEO of Shell from 2014 to 2023. Ben van Beurden would succeed Gunter von Au, who would step down after serving as Board member since 2012 and as the Chairman of the Board of Directors since 2021. The Board and the management team extends its sincere gratitude to Gunter von Au for his dedicated service and significant contributions to Clariant during his tenure. We thank Gunter for his commitment and look forward to benefit from Ben's insights and leadership as we continue to position Clariant as a leader in innovation and sustainable solutions. On sunliquids, the restructuring and downsizing activities are mostly completed, and we have resolved related contractual relationships with a positive result. Therefore, we reversed CHF 36 million of non-cash impairments related to right of use assets, which were originally booked in the fourth quarter of 2023. In 2024, we expect the total operational impact to remain unchanged, while we have reduced our exceptional and total cash outflow expectations. Bill will come back to this later. We continue to deliver on our performance improvement progress with CHF 7 million savings achieved in the third quarter. We are well on track to achieve our increased savings target of CHF 175 million by 2025 with over 90% or CHF 162 million already achieved as of the third quarter 2024. With that, I now hand over to Bill for further details on our business performance in the third quarter.
Bill Collins: Thank you, Conrad, and good afternoon, everyone. I will now discuss our third quarter development by business unit, starting with Care Chemicals. Care Chemicals sales increased by 1% organically in local currency and by 5% including scope. Volumes increased by 1%, while pricing was flat. Sequentially, sales were flat in local currency with stable volumes and pricing. By segment, we recorded strong organic growth in mining and crop solutions with the latter turning positive from a low base after lengthy supply chain destocking. We also recorded mid-single-digit organic growth in industrial applications and personal and home care. Base chemicals and oil services declined. We are pleased that the integration and business combination of Lucas Meyer Cosmetics remains well on track with both strong growth and profitability in Q3 as expected. Regionally, sales increased organically in the Americas and in Asia-Pacific primarily driven by volumes, while Europe, Middle East and Africa decreased. Reported EBITDA of CHF 92 million resulted in a stable margin of 17.2% versus 17.3% in the same period last year. The contribution from Lucas Meyer Cosmetics was reduced by around CHF 5 million due to the IFRS related inventory revaluation. We expect a full margin contribution from Lucas Meyer Cosmetics starting from Q4 2024. Catalysts sales declined by 20% in local currency and 22% in Swiss francs against the strong comparison base. Volumes declined by 20% versus the prior year while pricing was flat in all segments. We recorded high-single-digit growth in ethylene driven by refill projects in Asia and the Middle East. All the other segments declined with the most pronounced being propylene given the sizable new build projects in the prior year. In addition, the challenging global economic environment resulted in a continued low customer operating rates leading to delays in the regular refill cycles. Specialties declined by a low 20s percentage rate as demand for maleic and hydride new build projects in Asia in particular was below a strong prior year. Syngas & Fuels declined in the low-single-digit range still maintaining a good level against the high comparison base. Sequentially, sales decreased by 6% in local currency. Sales increased in Europe, Middle East, and Africa as European engineering partners supplied their global customers from the region. Sales in the Americas and in Asia-Pacific declined due to the lower refill and new fill activities of the business. In the quarter, reported EBITDA margin decreased to 18.2% from 22.3% in the prior year mainly due to the decrease in sales. When excluding operational and exceptional effects related to Sunliquid, Catalysts EBITDA margin in the quarter was 18.7% compared to 26.5% in the prior year period when sales were significantly higher. On Sunliquid, we made significant progress in executing on the closure of the plant and downsizing of related activities resolving related contractual relationships. As mentioned by Conrad, this resulted in an impairment reversal of CHF 36 million related to right of use assets which were originally booked in the fourth quarter of 2023. In the quarter, the operational impact was negative CHF 1 million a further improvement from Q2 2024. For 2024, we expect a negative operational impact of approximately CHF10 million unchanged from our previous guidance, while we expect lower exceptional items of flat to negative CHF 5 million. The total cash outflow is now expected at CHF 30 million to CHF 50 million. Moving to Adsorbents & Additives, sales increased by 7% in local currency with volumes up 7%, while pricing was stable. Sequentially, sales in the business unit decreased by 3% in local currency with lower volumes against stable pricing. By segment, adsorbents sales declined slightly due to lower volumes as industrial demand in Europe and Asia was weak, particularly in the automotive industry in Europe. In the Additive segment, sales increased at a high teens percentage rate driven by strong volume growth in polymer solutions as key end markets showed some improvement against the prior year. We also continue to attract strong interest in our new halogen free flame-retardant facility in Daya Bay. Sales increased in all regions. In the Americas, we recorded high teens percentage growth driven by volumes as a key customer and adsorbents resumed operations following maintenance. Asia-Pacific sales increased by a mid-single digit percentage rate mainly driven by volumes with slightly higher prices. In Europe, Middle East and Africa sales increased by a low-single digit percentage rate as higher volumes in additives more than offset slightly lower pricing. Reported EBITDA margin increased to 15.9% compared to 12.2% in the third quarter of 2023. Profitability levels reflect the increased volumes in additives, which supported by organizational structural improvements implemented over the last 12 months resulted in significant operating leverage. We delivered cost savings of CHF 7 million in the third quarter from our performance improvement programs. We remain on track to deliver our increased savings target of CHF 175 million. Thus far, savings of CHF 162 million were over 90% have been realized from an efficiency and rightsizing measures as well as the initial savings from the implementation of our new operating model. As mentioned by Conrad, we identified opportunities for additional savings, which resulted in restructuring charges of around CHF 9 million. We expect the new restructuring measures to deliver annual run rate savings of CHF 6 million. And with this, I close my remarks and hand back to Conrad.
Conrad Keijzer: Thank you, Bill. Let me conclude with the outlook. Starting with 2024, while we expect a continued easing of the inflationary environment, we see no significant economic recovery in 2024 with macroeconomic challenges and risks remaining. As mentioned at the beginning, the manufacturing PMIs of the key regions all remain below 50 confirming the relatively weak outlook for industrial activities for the rest of the year. We now expect a low-single digit percent sales decline in local currency. Lower than expected Catalysts sales are only partially offset by growth in Care Chemicals, including the impact of the acquisition of Lucas Meyer and the contribution of the seasonal Deicing & Refinery business in the fourth quarter as well as growth in Adsorbents & Additives. On profitability, we confirm our full-year reported EBITDA margin guidance of around 16%. This includes the full margin contribution of the Lucas Meyer Cosmetics acquisition and the reduced Sunliquid cost. We will continue to focus on margin management in a low demand environment and expect ongoing cost benefits from our performance improvement programs of CHF 33 million for the year. Moving to our medium term outlook. As end markets recover and growth normalizes over the next two to three years, we are well positioned and remain confident that we will deliver on our medium term targets. We also confirm our expectation that 2025 will be a year of solid progress towards these targets with continued improvement in growth and profitability. We look forward to providing more detail on our strategy and medium term outlook at our upcoming Investor Day next week. And to that point, let me remind you that we are holding an in-person Investor Day in London on the 4th of November. Presenters will include Bill and myself as well as our Chief Technology and Sustainability Officer, and our Business Unit Presidents. We are looking forward to seeing many of you there. With that, I now turn the call back over to you Andreas.
Andreas Schwarzwalder: Thank you, Conrad and thank you, Bill. Ladies and gentlemen, we will now take your questions. We would kindly ask that you please limit the number of questions to two, thus providing more participants the opportunity to ask a question. Thank you for your understanding. We will now open the line for questions. Sandra, please go ahead.
Operator: We will now begin the question-and-answer session. [Operator Instructions]. Our first question comes from Andreas Heine from Stifel. Please go ahead.
Andreas Heine: Yes, thanks for having the opportunity to ask the first question. So I restrict my question to two. The first is on the refills cycling Catalysts. My understanding is that you haven't seen any sign of recovery there yet as you speak about a delayed cycle. How long is your visibility in the Refill business? So I know that it is can be years in the new business, but how long is this really in refill? So in other words, how much forward you can exclude that we won't see any recovery? That's the first question. And then Bill, could you comment a little bit about the cash flow trend not in the figure, but in a figure, but in qualitative terms in the second half. So you have reduced your CapEx budget by another CHF 10 million profitability we see. What is -- what you see in net working capital and how do you see the free cash flow progressing towards year end?
Bill Collins: Okay. Actually why don't I go ahead and take that one Andreas, and thank you for your questions. Qualitatively on cash flow, I mean you're exactly right. We've dropped our forecast for the full-year by about another CHF 10 million. There isn't anything specific in that other than we just always have more ambitious -- more ambition to spend than what we can literally get done. Our cash flow for the full-year will however be impacted by some of the cash outs that we have associated with the biofuel shutdown. And even though that's going substantially better than what we had anticipated earlier in the year or certainly at the end of last year, it will have a negative impact. And then I think finally, we still expect operational cash flow to be good in the last quarter of this year. I mean we're still expecting an EBITDA margin rate of around 16%, which you can do the math means that we're expecting a still a good quarter. So I think we should probably come in lower than where we have been the last couple of years on a free cash flow conversion rate, but still at a respectable level given the cash outs we've got associated with restructuring activities.
Conrad Keijzer: Yes. Andreas, I'll answer your question on the -- on Catalysts. So, yes, maybe first high level. So if you look at our business historically, what we always saw was roughly one-third of the business newbuilds -- two-thirds was refill. We have seen a shift where actually now the newbuild is only like a sort of a 15% of the business and the rest is refill. So the newbuild rates basically was sort of cut in half, primarily due to a slowdown of newbuild activity in China. Now specific to your question on refill and the cycle and our visibility, so if you look at overall averages, one could say that roughly every four years, there is necessary a replacement of the Catalysts package in a reactor. Now like I said, that's an overall average. So we have businesses where actually that number is significantly higher, like for instance, in our Ethylene business. We have businesses where we sit around the 4% and that's primarily, for instance, in our [indiscernible] businesses. And then we have a few businesses where it's actually less than that. So if you look at this three to four year cycle, what we see right now is that we are particularly impacted by the low run rates in the year 2023 in the industry. So as a reminder, we were actually looking at the time at low capacity utilization rates of around 70% in Europe, about 85% in the U.S. So that actually delays then the refill cycle. Now what we think is in terms of our visibility and where we are in the cycle, what we think is that we have bottomed out in the second and the third quarter and we do expect a sequential improvement into the fourth quarter. You always see a certain seasonality. There are actually typical plants shutdowns, maintenance shutdowns, our plants a bit more in the fourth quarter and actually customers use that opportunity to do refills of the catalysts. But we are seeing that pickup driven by the refill business in the fourth quarter. So you will see the sequential pickup in line with a similar seasonality as you saw in the past.
Operator: The next question comes from Christian Faitz from Kepler Cheuvreux. Please go ahead.
Christian Faitz: Yes, thanks. Good afternoon, Conrad, Bill and Andreasand team. Two questions, please. First of all, any further elucidation on the revival of demand from the crop protection industry? It looks like at least this customer industry is back on track. Is that a correct observation? And my second question, again, sorry, coming back to Catalysts. I mean, structurally, it should be a great business. It's truly global, truly special in the sense that customers pay you on performance of the Catalysts rather than price and it has relatively limited competition. Yet, since quite a few years, we are light years away from the earnings potential that this business had in the midst to late 2010 years. I understand that at this point, the demand environment does not allow for super abnormal returns and you just elucidated that. And Clariant's adventure into a straw Catalysts was probably also nothing much to write home about. So do you see that business structurally in the foreseeable future to return to a mid-20% EBITDA margin level where it was for quite a few years? Thanks.
Conrad Keijzer: Yes. Christian, thanks for the two questions. So let me start with Crop Protection. Yes, we have seen very strong revenue in Crop Protection in the quarter, third quarter versus prior year, actually more than 10% up from the prior year and the destocking here is really behind us. Now we should note though that it's a low comparison base last year. So we are seeing, yes, double-digit growth, but from a low comparison last year where there was significant destocking. But looking at the season, looking at the crop season and the end demand, we actually see decent levels in terms of demand, and we expect actually continued positive performance in this business in the quarters ahead. Yes. To your question on Catalysts and a more fundamental question on where are we with this business in terms of profitability, I think first, a technical comment that apples-and-apples, you do need to look at some scope changes, including the very profitable Scientific Design business that we've invested in the past. But I will say that we still are firm with our opinion that we should do well over a 20% EBITDA margin for this business. And I'd like to also call your attention to profitability that we actually did see in the third quarter on a very weak admittedly, very weak revenue of minus 20%. We did achieve 18.7% EBITDA margin in the Catalysts business and that's an attribute to the many actions that we've done on our cost base, where we structurally lowered the cost base in Catalysts as well as actually margin management, much better pricing management than we had in the past. So we remain very confident that this business will actually deliver in line with our midterm targets.
Christian Faitz: Okay. Thanks very much.
Operator: The next question comes from Alex Stewart from Barclays. Please go ahead.
Alex Stewart: Hello. Good afternoon. Thanks for taking my question. The first one is on volumes. Is it fair to say that Care Chemicals will be trending low-single-digits in the fourth quarter percentage volumes excluding Lucas Meyer. Because I guess if I look at 2025, you've guided to 3% to 5% local currency sales growth. Okay, Catalysts is hard to model, but at that point A&A will be lapping harder comparables. The rates in Care Chemicals looks to be slowing. So I'm interested to know where you think the volume growth is going to come from in 2025? And then related to that, you've talked about 17% to 18% reported EBITDA margin. Now exceptional is very hard to model, but you've already talked about CHF 70 million of positive capital gain for the sale of that chemical park in Germany. So that's a 1.5% of margin. So are there exceptional costs, which we should consider next year? I'm trying to bridge the 17% to 18% and trying to understand what that means for adjusted because the current consensus is basically assuming that reported and adjusted margins are the same, which seems unlikely. So thanks. Really helpful to go beyond those.
Conrad Keijzer: Okay, Alex. I'll take the first question and then Bill will comment on exceptional items. Yes, with regard to Care Chemicals and what we're seeing happening on volumes there, I think, first of all, if you look at our third quarter volumes on an organic basis up 1%. But keep in mind that there is a bit of a mix issue here where we did see actually significant declines on some of our lower price sort of higher volume businesses like in base chemicals, for example, to a lesser extent, Oil Services. If you sort of look at Q4 and what we expect on volumes, we see a continuation of these trends. The swing factor for Q4 will be the icing business as well as the refinery business. So sequentially, we should actually see a pickup in the business in the fourth quarter if we see decent business coming in for de-icing chemicals and refinery, which are the cold flow improvers for diesel. Bill, maybe you can comment on the exceptional items.
Bill Collins: Yes. So I think the first point to note is that in our margin range of 17% to 18%, we don't have kind of big one-time gains in there like Fechenheim. I mean since the beginning of this year before that even became an opportunity we had discussions around what the 17% to 18% looked like in terms of basically being able to get to the 17% with all of the self-help actions that we're driving. And then of course some degree of market growth would push us up higher in that range. So again on something like Fechenheim, it's not closed yet. We've entered into a preliminary agreement. So we anticipate the closing to be sometime next year. In terms of the other costs, the margin guidance that we gave of the 17% to 18% basically has in there what we would call a more normalized level of exceptionals. It doesn't include any significant level of restructuring or other costs. That said, and we've been very clear that as we've made great progress on the 175 million cost program initially announced three years ago and systematically increased over the past couple of years that we'll continue to look for cost opportunities across the organization. And coming back to one of the comments already made, if we are in this period of relatively low volume growth for the foreseeable future because of the underlying economy, then of course we need to take a deeper look at that and that is actually something that we will explore in greater detail at the Investor Day next Monday.
Alex Stewart: Okay. So just to be double sure, you're not including the capital gain within the 17% to 18% reported EBITDA margin?
Bill Collins: Correct.
Alex Stewart: Thank you.
Operator: The next question is from Chetan Udeshi from JPMorgan. Please go ahead.
Chetan Udeshi: Yes. Hi, thanks for taking my questions. I was just wondering on Catalysts, I heard you talk about Q4 seasonality, which makes sense. But this is a business where I would think you would have a longer lead time and order book. So I'm just curious how is your backlog looking as we think about 2025? Or am I not right in thinking that this business doesn't so in other words, maybe I'm wrong that the business actually doesn't have backlog. It's just a spot business. But I would have thought this sort of a business, given it's a project business, you should have some sort of a backlog that sort of feeds into your revenue into outer years. And just curious on the other question I had was, we've had profit warnings or at least indications of softer market for beauty products in China, maybe mass market Europe. Just curious what, how does that feed into your Care Chemical business whether at Lucas Meyer or your legacy Care Chemical, Personal Care exposure? Thank you.
Conrad Keijzer: Yes. Thank you, Chetan. Yes, first on Catalysts and your question on order book or backlog in our order book. So I think there's two things. So we, on the one hand, have our newbuilds business in Catalysts, where we typically have very long order lead times, 18 to, let's say, 24 months lead time. We know before a new plant start up, we already get the order and that gives us a long lead time. If you look at the Refill business, that is a shorter lead time, typically about a six months lead time. So I will say that the volatility in our order book has gone up a little bit because of the fact that the newbuild business represents a lower share of it. If you look right now at the order book, yes, we are confident about this sequential pickup in Q4 that we highlighted. Yes, basically, what our order book indicates is that we're bottoming out in this business. We did bottom out in Q2, Q3, But there will be weakness as long as really the operating rates, particularly in Europe are not increasing. And we still, even at this moment are running in chemical plants, particularly petrochemical plants in Europe at depressed operating rates around a 70 max, 75% utilization rates. So that really needs to improve for the Refill business to really pick up again strongly. Yes, sorry, your second question on Care Chemicals and what we have, yes, seen in Luxury brands and we've also seen here the announcement of companies like LVHM, Kering, L'Oreal, luxury brands have actually seen sales coming down based on lower consumer confidence and some headwinds in China. If you look at our positioning with Lucas Meyer, it is a very unique high end positioning. So particularly, if you look at the anti-age creams, that is a very solid customer base, a very loyal customer base, that also is an aged group of consumers that typically does have spending power. So even within the luxury brands, you see that the segment which talks about products like anti-age creams, hair care products, particularly for the older consumer groups is holding up quite well. I will say what we also see in Lucas Meyer is that the indie brands really are taking off. And this is a trend where on social media influencers recommend their own brands of cosmetic products. So overall, if you sort of look at all these things together, the Lucas Meyer business is delivering the business case mostly profitability as well as in terms of our gross expectations.
Chetan Udeshi: Can I follow-up? You mentioned as long as the European chemical industry utilization remains low, so can you remind us how is your mix within your Catalysts business between regions?
Conrad Keijzer: Yes. The mix within regions is actually fairly balanced, but I will say that Asia is overall the biggest region then actually would come Europe. And then actually, you will see the U.S. coming in.
Chetan Udeshi: Understood. Thank you.
Conrad Keijzer: Yes, you are welcome.
Operator: The next question comes from Matthew Yates from Bank of America. Please go ahead.
Matthew Yates: Hi, thanks everyone. Good afternoon. Maybe I'd like a follow-up on Chetan's question, really. Can I sort of challenge the assumption that the Catalysts business is bottoming out. When I look at various sort of consultant forecast for new capacity startups in chemicals in 2025, it actually looks a lot less than 2024. So I appreciate maybe the refill business has some recovery next year, but do you actually think that the newbuild business is going to be up or down next year? And then maybe just a side question for Bill. The CHF 7 million of cost savings, can you give us a sense what the net number here is? Because I guess you've got 10,000 people or so in the organization with salary increases and various other cost inflation. So when you look at the total cost base of the company, can you help us put that CHF 7 million of savings in context to what kind of the underlying inflation is running at? Thank you.
Conrad Keijzer: You wish to take that first.
Bill Collins: Okay. So if we look at the cost savings in the balance of inflation, I would say that if we go back to 2022 and 2023, our cost savings from all of these various restructuring programs have fully offset all of the inflation that we've incurred from a merit and goods perspective. I mean, you can see in our reports that we run a little over CHF 900 million in overall labor costs. So you can do the math on kind of what you think the inflation is. The CHF 7 million that we're talking about here, it's not a full inflation offset program. I mean this is just it was an additional opportunity really related to some positions that we still have in high cost countries that we've decided that we can pull those into a shared services framework across whether it's intellectual property or other functional activities. So this is really, it's a one-off from that perspective. I will say in coming back to the question earlier, I mean, we are also then looking at potentially larger programs that could have more of a full labor inflation offset going forward, because I mean realistically we all have to do that. If we can't get it in pricing or through volumes, we've got to make sure that we've got the continuous improvement programs in place to be able to drive that offset. So we're looking very, very carefully at that. And like I said, we'll have a deeper discussion about that next Monday.
Conrad Keijzer: Okay. Matthew, and then your other question about newbuilds versus refill and sort of our outlook. Yes, maybe first on newbuilds. So newbuilds has rebased itself this year. So we had unprecedented growth, I would almost say in the last five plus years in China when it comes to newbuild. That is actually not going to repeat itself soon. So you still see some newbuilds, but it is at a lower activity. And just as a reminder, run rates right now, overall in China are actually sitting at 65% to 70%. So this is really low. And even if you would plot high-single digit growth, then you talk about a two, three years before actually you see the more normalized capacity utilization rates in China. So newbuilds for us in our outlook is basically flat. What we will see is for refill, we will see a more positive picture. And that is actually a little bit different by segment, but particularly on ethylene where there is a much longer refill cycle, we will see actually some significant refills coming in. Finally, yes, if you look at the mid-term, long-term outlook for Catalysts, the energy transition and then looking at how we are positioned with our Catalysts business, particularly our Syngas Catalysts, this is actually a very strong positioning. So what you will see over time is new markets opening up either for green or for blue ammonia, for example, or methanol applications like shipping fuel, which now -- yes, which basically are new markets for these molecules, fertilizers, new markets for these molecules that actually will open up demand for Catalysts mid-to-long term.
Matthew Yates: Okay. Conrad, Bill, thanks very much.
Conrad Keijzer: You're welcome.
Operator: The next question comes from Konstantin Wiechert from Baader Helvea. Please go ahead.
Konstantin Wiechert: Yes, hi. Thanks all for taking my question. Maybe starting on Care Chemicals again. While you had positive volume development in the current quarter. Your EBITDA only improved about CHF 1 million. Could you help me again understand, if there was any other item next to the inventory revaluations and the adverse currency effect that has impacted this profitability? And maybe to add on this, could you also just try to explain me once again the mechanics behind the inventory revaluations and why there has been another quarter with that, but now you're sure that this shouldn't reoccur in the last quarter of the year. And if we take those run rates, is it fair to assume that then in the next year, Care Chemicals should improve something north of CHF 20 million on EBITDA just from basically Lucas Meyer effect that we've seen this year, and the first quarter consolidation. I stop right here. Thanks.
Conrad Keijzer: Okay. Konstantin, given your questions, you're stuck with me on this one. So let's start with the overall 1%. So the reported figures that you see there actually include the full CHF 5 million impact from the inventory revaluation on the Lucas Meyer Cosmetics inventories as well as associated integration costs. So that right there if you back that out, I mean just if you add anywhere between CHF 5 million and CHF 7 million to the bottom line of Care Chemicals, you're going to come up with a substantially higher figure on a base amount of sales there. On the inventory step up, I mean the reason that we've had to take that in Q2 and in Q3 is simply because under IFRS when you buy the assets of a business, you have to revalue those assets at a market value. So the inventories that we acquired had to be stepped up in value. Therefore, we don't get the full impact of those margins. So in reality for what we saw in Q3, Lucas Meyer Cosmetics certainly contributed nicely from a top-line perspective and you see that in the scope that we reported, but it didn't contribute substantially on the bottom line. So as a result of that, it's muted to answer your question. But certainly as we go into Q4, we will not have that inventory step up anymore. So what you'll see then reported in Q4 ongoing is the pure unalterated results of Lucas Meyer Cosmetics, which again we do expect to contribute not only top-line, but also bottom line very much in line with what we had communicated at the time of the acquisition.
Konstantin Wiechert: Okay. Thank you so much.
Conrad Keijzer: Did that answer your question?
Konstantin Wiechert: Yes, sort of. Thanks. I guess if I may ask a follow-up, because I think I'm already at the end maybe on your topic around exceptional items for next year and general improvement programs, maybe just from a philosophical standpoint, I guess we hear more on that on the Capital Markets Day, but I'll try anyways. If it's, I guess it's sort of a standard procedure for large international companies to always have a continuous improvement in cost savings. And therefore, I'm just here to, I want to clarify whether you think these are exceptional items that should be included in the next years or if we should view these continuous improvements as, yes, within the normal business operation, therefore not yes.
Conrad Keijzer: Yes. No, no, no. So actually, if we back up a couple of years, I mean we have taken quite some restructuring charges associated with the implementation of our new operating model. We have fundamentally restructured and reorganized the company over the past couple of years and that had a huge impact not only on the location of a number of positions, but also in terms of the number of layers of management that we had in the organization, how we're structured and so forth. So the restructuring that we've taken over the last few years was very much to put in place the operating model that we are delivering on today. Going forward, yes, I stick by what I said in terms of there being a need for continuous improvement. However, to the extent that those continuous improvement exercise actually relate to continued opportunities to further centralize certain activities around the globe to move certain activities out of higher cost countries and into lower cost countries, while getting the same thing for being able to take positions out through automation, Gen AI, whatever you want to call it. That would in fact be part of an overall restructuring program, which would get booked as an exceptional. Smaller productivity enhancements on an individual functional basis that would be included on our normal SG&A, normal operating costs, but to the extent that it's part of a larger program then it would certainly hit the exceptional line.
Konstantin Wiechert: Okay. Thank you.
Conrad Keijzer: You're welcome.
Operator: The last question for today's call comes from Georgina Fraser from Goldman Sachs. Please go ahead.
Georgina Fraser: Hi. Good afternoon, Conrad, Bill and Andreas. I'm great to speak to you. Two questions left. One of them is just, great appointment for your new Chairman starting next year. Could you share what kind of expertise you're hoping to benefit from? And what kind of strategic areas is Clariant considering that they might need somebody like Ben van Beurden experience making some decisions around? And then the second question that I had left is, looking at your early 2025 outlook, can you just outline what macro assumptions you included and how that would alter based on different outcomes for China stimulus, the U.S. election and what you've assumed in terms of costs because you helpfully provide your cost evolution in your presentation. And it looks like that's actually been quite supportive and for the last kind of 12 to 18 months. So just a little bit of color on that would be helpful. Thank you.
Conrad Keijzer: Yes. Thank you, Georgina. So first, yes, on our new Chairman coming in, who -- yes, our shareholders still will need to vote on the 1st of April. But we are very pleased actually with the nomination of Ben Van Beurden as our new Chairman. So looking at his background, yes, obviously, a phenomenal track record what he brings in terms of, yes, his former role as a CEO of Shell, but also actually for the many years that he was heading Shell Chemicals. So he has and he brings a deep knowledge on petrochemical markets, which obviously are very interesting for us for our Catalysts business. I think also in terms of his sustainability track record, as a reminder, Shell was one of the first oil and gas companies out there with carbon reduction targets. This is obviously for us something very close to our hearts. Clariant is a leader in sustainability and specialty chemicals, and we're very much committed to stay in that position. And finally, leadership. I mean, yes, somebody of his stature will really also, yes, bring sort of leadership to our company. And I look very much forward to work together with him for the coming years in achieving our mid-term targets, and then obviously from there sustainably growing profitably beyond. Talking about our outlook in terms of 2025, your specific questions on what are the macro assumptions. Let me first reiterate that we are firmly committed to the 3% to 5% growth to an EBITDA margin in 25% of 17% to 18%. The basic assumptions here are, if you look at the overall economy right now, we just got the latest numbers here from Oxford Economics, expecting a 2.7% GDP growth for this year, slightly up next year to 2.8%. What is important though is the shift back towards industrial GDP. So the general consensus is that after a period of more than two years now with lagging industrial GDP coming out of corona, consumers spending much more on services. We see that shifting back. We actually see that shifting back already this year, if we look at our additives business and the pickup, for example, in segments like Consumer Electronics, some durable goods picking up, semi-durable goods, furniture for example, we see it with our Lycosin business. We expect this to continue. So our assumptions for next year is basically the same growth rate roughly overall for GDP, a continued shift back to industrial GDP and also, let's say, some of the interest rate cuts will actually help to push and trigger consumer spending back to durable goods.
Georgina Fraser: And is there anything that you can say about how you would be looking to manage the business if we saw a ramp in the tariff environment?
Conrad Keijzer: If you look at the tariffs, we have many discussions here internally around tariffs and what were to happen. If you look at the footprint that Clariant has with more than 70 sites globally, it is very -- it is largely in a region for a region, particularly if you look, for instance, at the U.S, we actually have a very strong I think it's over 70% actually that we locally produce in the U.S. for the U.S. So our assessment is that it has a very limited impact actually on the Clariant business performance, if and when the U.S. would go up tariffs much higher than they currently are.
Georgina Fraser: Thank you very much.
Conrad Keijzer: Thank you.
Andreas Schwarzwalder: Thank you. This is Andreas speaking. Ladies and gentlemen, this concludes today's conference call. A transcript of the call will be available on the Clariant website in due course. The Investor Relations team is available for any further questions you might have. And we look forward to seeing you in London next week and let me remind you that the registration for the Investor Day is available on the Investor Relations website, which will close tomorrow noon. Once again, thank you for joining the call, and goodbye.